Operator: Good morning. My name is John, and I will be your conference operator today. At this time, I would like to welcome everyone to the Roblox Fourth Quarter and Fiscal Year 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Stefanie Notaney. You may now begin your conference.
Stefanie Notaney: Thank you, John. Good morning, everyone. Thank you for joining our Q&A session to discuss Roblox's Q4 and full year 2024 results. With me today is Roblox's Co-Founder and CEO, David Baszucki; and CFO, Mike Guthrie. Our shareholder letter, press release, SEC filings, supplemental slides and a replay of today's call can be found on our Investor Relations website. Our commentary today may include forward-looking statements, which are subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those described in our forward-looking statements. A description of these risks, uncertainties and assumptions are included in our SEC filings, including our most recent reports on Form 10-K and Form 10-Q. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update these statements, except as required by law. During this call, we will also discuss certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics can be found in our press release and supplemental slides. With that, I'll turn the call over to Dave.
David Baszucki: Thank you. Good morning. Hey, thank you all for joining us today. We're excited to share our outstanding results from Q4. And once again, I want to highlight our surpassing all of our guidance metrics, everything we provided on our Q3 earnings call and our 2023 Investor Day goals. And we're going to leave you through a bit of our continued journey on moving to a goal of having 10% of the gaming content ecosystem running through our platform. But let's start a bit with some of our results. Once again, high growth rates across really all of our key financial and operating metrics and surpassing our guidance in every single data point where we provided guidance in our Q3 earnings call. Q4 revenue, $988 million, up 32% year-on-year, ahead of our high end of guidance of $960 million. Q4 bookings, $1.362 billion, up 21% year-on-year, ahead of the top end of our guidance which was at $1.361 million. DAUs in Q4, 85.3 million, up 19% year-on-year. I want to highlight once again in Japan and India, two very large markets for us, growth over 50% year-on-year. Also highlighting, as we continue to expand the range of the ages on our platform, over 61% of our total DAUs are over 13, and over 13 saw 26% year-on-year growth. Hours, 18.7 billion hours of engagement in Q4, up 21% year-on-year; similar, plus 50% in India and Japan. Once again, strong growth over 13. On the cost and cap expenditure side, we've continued to be very diligent except in one area, DevEx was up 25%. We shared over $922 million with the developer community in 2024; and in Q4, we shared $280 million through DevEx, which is up 27% year-on-year. That's an all-time high, and it's really part of our commitment of moving as much money through our platform to creators. On trust and safety and infrastructure. This is our whole cloud, this is all of the AI supporting safety and stability, this is all of our live ops. This was up 2% year-on-year and down 2% versus Q3. I want to highlight this is all because of efficiency. We're improving quality on all metrics. This is as we improve the way we drive quality and efficiency with AI and the way we run lean infrastructure. That was 13% of revenue and 9% of bookings, which decreased to the last year. And I just want to highlight a lot of AI-driven modernization with quality that we'll share a bit more. On personnel costs not including stock-based compensation, $200 million, once again, driving on operational excellence. We were at 20% of revenue and 15% of bookings. This decreased relative to the previous year both as a percentage of revenue and bookings. On operations, Q4 cash was up 29% year-on-year to $184 million. Free cash flow Q4, $120 million, up 54%. Once again, all of our metrics above guidance, free cash flow above the high end of the guide at $115 million. For the year, free cash flow, up over 5x from $124 million in 2023 to $641 million in 2024. Let's pop into our road map. In 2024, really at the start of the year, in our first earnings call, we shared a commitment to perf quality live ops discovery and economy, all of these initiatives, we believe, contributed to our continued growth. And want to highlight once again, up and down our stack throughout the year, app launch time, crash rates, frame rates, overall app quality, all, we believe, contribute to higher engagement and spending. And a little highlight on infrastructure quality. In December, our uptime hit [ five 9s ], 99.999% uptime which is really a new high point for us and, once again, signifies commitment to engineering excellence. On the live ops side, in 2024, we introduced platform live ops. We saw large content slate from the creator supporting live ops. We've seen a lot of great content breakout this year. Fisch emerged as a breakout hit. We've seen NFL Universe pop into the top 25 as far as bookings on the platform. We've seen SpongeBob from Paramount pop into the top 25. More to come on that as we talk about content. And finally, on the discovery side. We shared with all of you a commitment to transparent discovery that optimizes personalized results for everyone. I want to highlight that in experience hours for experiences beyond the top 1,000 grew faster than our top 1,000 this year. And that's a highlight to discovery, matching people with great content. On economy, we, at the start of the year, shared a commitment to driving bookings per hour with a lot of improvements to our economy. We launched dynamic price floors. We moved our UGC economy for -- to UGC for all, which means we opened up our avatar marketplace to all creators. We launched inexperienced price optimization as well. This has driven monetization everywhere. Bookings per DAU, bookings per hour and bookings per pair, all increased in '24 relative to 2023. And recently in Q4, we began to offer more Robux for users buying on platforms other than mobile, essentially giving Robux out roughly proportional to the cash we get in during the purchase. And this has improved the share of economics as well that we share with the developer community. On ads and brands. We've seen e.l.f. Beauty on the platform. Amazon is now buying ads on our platform. Mr. Beast in conjunction with Beast Games, going live on TV and on streaming, brought on Mr. Beast Experience. We've hired a lot of key leadership in our ads engineering and prod awards. We're now live with Shopify integration. And a cool cultural moment. 5 of the 10 top grossing 2024 movies had activations on Roblox, including recently Beetlejuice and Wicked. In safety. Constantly shipping improvements, we had over [ 43 ] releases this year. And we launched our party product as well, which brings people together on the platform and made improvements in how we treat people of all ages as part of that. On the AI side, I just got the recent update on the number of the AI pipelines and systems we're running on the platform. It's over 200 now. We've been doing this for over 4 years behind the scenes on our safety and stability side. And an example of the innovations we're making is our voice safety model has been -- we open sourced it on Hugging Face because we want other people to take advantage of our expertise in voice safety.It's been downloaded over 20,000 times. We launched avatar auto-setup in Q4, which takes any really industry 3D avatar model and turns it into a fully functional Roblox avatar, skinning, boning, adding facts to the face, making it support facial animation. This is a real early signal in the ability of Roblox to use AI to ingest text, images, 3D objects and convert them really into functioning Roblox objects. And also Roblox Assistant is fully launched in Q4. It allows conversational creation inside Roblox Studio. Stay tuned because a lot more of that's coming. At RDC, we shared a vision that we believe we're going to see 10% of all gaming content running on the Roblox platform. Today, our market share is 2.4%, which speaks a bit to the available headroom we have as we drive our platform. We see a fundamental shift incurring in the gaming ecosystem driven by our vision of technology. And that's a vision of 3D streaming supporting instant connection with 3D content. It's instant connection on any device, anywhere in the world. It's enabling developers to publish once to a cloud and once again have their content live any language, any platform and ultimately powered by AI. And finally, this is not video streaming. This is 3D streaming with very low latency, local simulation of avatar and very responsive 3D interactions. So this really add a lot of clarity to -- just for all of you and for how we're working with our creators. So stay tuned on this. I want to share a bit of what we got planned for 2025 and beyond. As part of this goal really of getting 10% of gaming on our platform, we're really watching the genres on Roblox. Some of our genres like avatar simulation are arguably already pretty huge relative to that gaming ecosystem. But there's a lot of opportunity for us in role-playing, in sports and racing, in action and battle royale. We're really going to be driving platform tech including perf and quality. We are -- we've announced an affiliate program to support on and off-platform acquisition and supplement the organic growth on our platform. We're continuing to expand our economy, and we shared more about this with paid access games and our ad economy. And then finally, I want to just give a little highlight of the future of AI on our platform. Just like in the early days of Roblox, when this immersive 3D online multiplayer simulation that we created starting to support new genres of gaming that have been popping up on Roblox, we believe AI will continue to do that. Our expectation is, in Q1, we're going to be shipping text generation available inside Roblox experiences. That means creators will be able to take advantage of this and make AI-based characters. So we can imagine a virtual George Washington teaching Roblox in history, driven by text gen as a service. We have also shared that we have so much 3D data. We're going to be making available a 3D foundational model that is 3D native and state-of-the-art transformer based that has been trained with our data. We're going to make this available in studio. And in Q2, we expect to extend 3D creation and 3D generation in experience. That means a fashion creation game will start to allow everyone not just to mix and match an outfit but to generate 3D outfits with a text prompt. So stay tuned for that. Finally, on safety, the foundation of our company. We have huge ambitions for the year. And I want to highlight safety and stability at Roblox isn't just under 13. When we think of safety and stability, we're talking every single age on the platform and building that in. So stay tuned on that. We continue to produce more and more operating leverage even as we bring in world-class talent. We're expanding and improving infrastructure, trust and safety systems, and we're driving the economics. I'm going to hand over to Mike, but I do want to highlight, we continue to drive top line growth at 20% plus while we increase cash flow and while we're on to really this goal of 10% of gaming, which is almost a 4x for us as available headroom. With that, over to Mike.
Michael Guthrie: Thanks, Dave, and good morning, everyone. I'm just going to make three quick comments before we jump into Q&A, just to make some clarifying statements. Number one is that 2024 was really an important year for us. From a financial standpoint, this is really the year when bookings caught up with the investments that we've made post-COVID and into early 2023. We talked about scaling margins and scaling cash flow and free cash flow. And in 2024, we really delivered on those and generated very, very high operating and free cash flow across the course of the year. So we're really happy with that. Importantly, what that means is, per Dave's earlier comments, as we pursue our plan to get to 10% of the market at pretty high growth rates of bookings, we have an ability to invest very consistently in the things that drive value at Roblox, which is engineering excellence, trust and safety and infrastructure and the developer community. And so while we had a real step function in margins this year, we delivered about 2 to 3 years' worth of margin improvement per our guidance in November '23. We can continue to do that while making really significant investments. And so from an operating standpoint, that feels good to us as a leadership team and a real consistency in those investments to drive -- continue to drive growth with margin. Number two, I want to make sure that the fourth quarter, we have clarity on two things. First would be bookings. In Q4 last year, we launched a new platform, which is PlayStation. We always want to launch new platforms. We're excited to do that. And typically, that grows the overall size of the market and is positive for the business. At the same time, we also had a significant update on Xbox. So console for us in October, November last year in particular was very strong, and we lapped that in the fourth quarter. So just a little bit of clarity. We touched on a little bit of this in the letter. In the fourth quarter, mobile and desktop bookings grew 26%, so very high growth in the things that we're not lapping, the difficult compares. In -- for the entire -- for the month of December exclusively, mobile and desktop bookings were 27% growth and prepaid and console were 22% growth. So prepaid and console, we lapped the launch of PlayStation, the October and November impacts there. We also lapped a large prepaid card purchase in November. But by December, and as we exited the quarter and into the first quarter, very high growth in mobile and desktop,which has persisted across Q3 and Q4, and prepaid and console then started to pick back up into the 20% range. So we had a very healthy exit to the growth rate, once you take into consideration lapping PlayStation. And again, that continued into the first quarter. So that's number two. Number three, just as it relates to consensus, and our guidance. We -- I just want to remind everybody, in the fourth quarter, we have -- over the course of the year, let's just say, working capital is not a big -- it doesn't really have a big impact on the business. But in Q4 and Q1, working capital actually has a very large impact on the business. So there's a -- in your models, there's a difference between your EBITDA and our cash from operations, that is working capital. In Q4, negative working capital, so there's a big spread. And then in Q1, positive working capital as we collect all the activity that happened in Q4, especially around the holidays. So just vis-a-vis your consensus, which is at the high end of our implied guidance, I think we're about 9% ahead of your EBITDA numbers. So I just want to make sure everybody understands the working capital flow and how that works. And you're going to see a lot of -- of course, that cash flow is going to come back into the company in the first quarter. So those are my three comments just to put everything into context, and now we'll love to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Omar Dessouky with Bank of America.
Omar Dessouky: I wanted to maybe get -- help us think of a framework of how you're going to get to 10% of the video game market. So if we were to think about the existing video game markets in tiers, okay, obviously, there's mobile and PC console. But within, for example, PC console, there are different levels of production value like AAA, AA, A and indie. Which of those tiers of production value would you expect Roblox developers to start to emulate so that you could potentially take share? And the reason I say take share is because it's well known that the video game market hasn't been growing very rapidly, whereas you're growing 20%. So it would seem that Roblox developers would potentially take share from the existing video game market. Just help us think about the future direction of content that's going to help you get to that 10%.
David Baszucki: Omar, thanks for highlighting this. And let's take a step back. I want to share how we have been thinking a bit, and there's various lenses on this. First off, when we think about people creating 3D games and experiences, and you mentioned taking share, we actually just want many of them creating on Roblox. They're creating in other places. And so this isn't necessarily taking from them. We're seeing more and more licensed platforms, once again, like NFL Universe or SpongeBob Tower Defense from Paramount just showing up on our platform side-by-side the rest of the game industry. We -- financially, the way we see this going is an internal model, genre by genre and the size of each of those genres and our penetration in each genre leading to ultimately 10% of the market running on our platform. I'll give you one example. Battle Royale on low-end mobile is a good -- a sizable chunk of this. And we could reel off the top 4 to 5 battle royales around the world. We shared at RDC and we continue to share that we're driving the technical innovation to support Battle Royale on a low-end 2 gigabyte RAM Android device in a very difficult networking market like India with no compromise. We believe Battle Royale ultimately on Roblox needs to launch faster, run at higher fidelity and work better in a bad networking condition than a traditionally precompiled monolithic battle royale. So stay tuned on that. But simultaneously, the architecture we're developing, which is a 3D streaming architecture very closely connected to the cloud, also leads to the notion that, that same battle royale that's running on 2-gigabyte Android should run on a high-end gaming PC and stream higher-quality assets with the exact same code base. So we are not going to compromise either on low-end Android perf, which is the mobile segment, or the high-end PC quality. Because cloud is going to be ultimately very important and dynamically adjusting the quality of these experiences. And then I would say in the third segment, we are also starting to see even more puzzle-type games on the platform. So we believe it's imminently important for us to make the technical breakthroughs that support which has traditionally been monolithically downloaded experiences in a 3D streaming context without any compromise for quality. This is complemented by a road map on economics. You saw with paid access [ games ] that's moving all the way to 70% in certain situations. This is complemented by search and discovery to help bring these features forward. And then I would say behind the scenes, you will see us working with high-end developers who traditionally were launched in other ways on the Roblox platform. So we're taking this very seriously. Internally, we are watching the metrics quarter-by-quarter genre by genre to make this happen.
Operator: We'll go next to Cory Carpenter with JPMorgan.
Cory Carpenter: Wanted to ask on advertising. You didn't touch on it much in your prepared remarks, you talked about 2025 initiatives. So hoping you could just maybe frame your plans for the ad business this year and any help you can give on quantifying the ad contribution you're expecting in '25 that's embedded in your outlook.
David Baszucki: I'll go first. We shared that when we feel advertising is big enough, we'll break it out. I'll let Mike talk about it. We're just in the middle of adding to our portfolio of ad products, including streaming video ads and possibly user-initiated video. We are already building an increasing business on sponsor tiles on our homepage. We are live with shopping ads. I want to highlight the potential here with 5 of the top 10 movie releases using Roblox to boost engagement and understand what's coming. Of course, we won't say whether that's correlation or causality. But we do think it's is really exciting. So I do feel we're on a great track. The team we've supplemented with amazing talent, it's -- I think it's simply we're not ready to break it out yet, Mike.
Michael Guthrie: Correct. And there's very little in the numbers that we produce today in terms of our guidance for '25.
Operator: Your next question comes from the line of Clark Lampen with BTIG.
William Lampen: I have two. Dave, on personalization and discover, you guys have obviously been very successful in rolling this out over the course of the year, and it's objectively been accretive to the player experience, your business, bookings growth. Have you seen, as a consequence of this though, any signs from a developer standpoint that the community is maybe being taxed a little bit by a higher live services burden? I guess, said differently, is there any way for you to monitor and potentially avoid burnout as the pace of content creation potentially picks up? Second question, Mike, as we're thinking about rate of margin improvement that's sort of baked in and what's forecasted for 2025, is there any way of framing for us how much of the improvement might be a result of direct cost leverage this year rather than OpEx leverage? Since you didn't hire a whole lot in 2024, I would imagine that, that's going to pick up in 2025.
David Baszucki: Yes, I'll start on search and discovery. First, I want to highlight a couple of things. The creator community, who we meet with personally and talk about this a lot, really values transparency in our search and discovery algorithms so they can see what we're rewarding. We've made a commitment at RDC to be hyper transparent in that. And stay tuned because we believe we can be very transparent in what we're rewarding for organic discovery as well as how we run organic search. That's complemented with live ops, where we do at times feature updates. I want to highlight, we encourage all Roblox creators to iterate and make many small updates rather than giant monolithic ones. It's the way we build Roblox. We're shipping many times a day. We shipped safety advancements 40 times a year. And so I don't actually think we're encouraging burnout. I think we're encouraging a healthy way to do engineering.
Michael Guthrie: Clark, I'm going to answer your question. I want to make sure I get it right. So this year coming up, as I said earlier in my opening comments, we're in a position now where growth and expenses can track much more closely with growth in the top line because we had such a step up in margins. This year, based on the top line growth that we expect, we can hire pretty aggressively vis-a-vis the last couple of years. We can add headcount costs in a mid- to high teens and still have very good cost leverage this year over last year. So that's number one. That's on the fixed cost side. Number two, Infra, trust and safety. We continue to drive down cost to serve and we still believe there's pretty a significant amount of improvement that we can drive in that cost line. And so just those two, you were saying direct versus OpEx, they're both operating expenses. They're more fixed costs. That's how I think of it. And then I just want to add, and sort of embedded in what I said at the beginning, we have had variable costs in the business that have been our developer exchange and our cost of goods sold. And for quite a long time, we've talked about the potential of unlocking operating leverage and cost of goods sold. We're still early in that journey, but differential pricing is certainly a first move towards that. And so while what you see in our guidance is driven really by hiring in IT&S, infra, trust and safety operating leverage, just investing at a slightly lower growth rate than what we expect on the top line, there is the possibility that we start to see some real operating leverage in COGS. And that allows us to do a few things that we've talked about for years. One is sharing a little bit more of the developer community while sharing incremental margin and effectively with investors and in our -- on our P&L as we report cash flow. So that's why we're really -- like we're in an enviable financial position. Did I answer your question?
William Lampen: Yes, you did. I think the question essentially gross margin leverage relative to OpEx. And it sounds like if I have it right, a lot of what you're modeling in here is OpEx leverage. You'll sort of wait and see whether there is COGS leverage over the course of the year -- or incremental COGS leverage. Is that correct?
Michael Guthrie: Correct.
Operator: Your next question comes from the line of Matthew Cost with Morgan Stanley.
Matthew Cost: The first one is just on the DAU trajectory. I think there was a slight step down from 3Q to 4Q. It seemed to be across most of the regions. So what were the puts and takes in the DAU step-down from 3Q to 4Q? Any regions to call out or content that drove that platform that's worth noting? And then just secondly, I think just building on Clark's question a little bit. As I understand it, I think there would be kind of some benefit to the amount of developer exchange fees going out to the developers, which means a higher cost to Roblox as a result of differential pricing. Over time, I would imagine, as you get more consumers to shift to that payment model, that's a good guide for COGS. It probably is a good guide for your margins. But in year 1, as you look at the guidance for 2025, is differential pricing good for gross margin this year or bad at that initial first 12 months?
David Baszucki: I'm going to start a picture on this and just share what you may be seeing hints of in our results over the next 4 to 5 years as we move to 10% of the gaming content space running through our platform. We want to move as much money as we can through to the developer community as part of it. It's great economics. It helps drive growth on the platform. You will see us relentlessly work on COGS as a percent of bookings, on personnel cost as a percent of bookings and infra trust and safety without compromising quality as a percent of bookings. Because what that leaves behind that is cash and what we can move to our developers. So the more we drive this, the better. The move to rationalizing Robux pricing, where we roughly correlate the amount of Robux given to the amount of raw cash we receive is great economic policy. It's really increased the amount of money ultimately flowing through developers because it drives our COGS down a bit. And we've seen consumers respond in a rational way, in a way that has also contributed to growth. So on that side, I would hope, at the big picture, you would see DevEx as a percent of bookings, Mike, you can comment just continue to slowly march upwards if we do our job right.
Michael Guthrie: That's right. And that doesn't mean margins will go down at the same time. We're talking about efficiency in the cost structure that allows us to do both. The guidance implies that we're still in the 100 to 300 basis points range that we talked about back in late '23. Obviously, this year, '24, the number was quite a bit higher than that. But embedded in that, to get specific, is primarily the operating expenses that we talked about. Another way of saying that is we're sort of carefully watching COGS leverage. We're optimistic about COGS leverage. We're not modeling it in and guiding to it today. But it's exciting to have that lever. We haven't had that in the past. On the user side, in Q4, again lapping the launch of PlayStation and a pretty significant step-up in Xbox, it's a platform that we saw a lot of sign-up activity. We saw a lot of new DAUs. And so we have to really lap that coming into January -- into -- sorry, Q1 of '25. In addition, just as a call-out specifically we talked about a little bit in the letter, Eastern Europe growth was quite a bit slower on DAUs driven primarily by Turkey, which is the first full quarter where Turkey has been off. And if you look at the growth in users in Europe versus the bookings growth, overall, healthy user growth in the rest of the world. And certainly, we're seeing strong engagement and strong monetization, which turns into strong bookings growth.
David Baszucki: I want to just highlight how little we are penetrated in India right now with north of 50% DAU growth, which you'll see complementing as that market grows.
Operator: We'll move next to Kenneth Gawrelski with Wells Fargo.
Kenneth Gawrelski: Two, if I may. First one, what are you hearing from developers about the cost and the time to develop new game features with all the AI-powered tools that you discussed at length on this call? How should we think about the adoption of -- and how should we think about the adoption rates of these tools? Is it significant already? Is it very early days? And do you expect an acceleration there? And is the greater impact on the overall Roblox ecosystem better earnings for developers or enhanced game development, or is it really both? Maybe that's my first one. And the second one is more just maybe, Mike, if you could walk us through kind of the puts and takes as we think about the first quarter guidance. You talked about in the letter some of the dynamics between early in the quarter or later in the quarter. But can you just talk about it maybe a bit more extensively just so we understand the different dynamics in that 1Q bookings guide.
David Baszucki: First, I'll start with developers and their economics. And I do want to highlight, people are taking note of what we believe is the economic opportunity. A very large property on Roblox Brookhaven was just acquired by a very, I think, thoughtful and smart kind of property owner. So I want to highlight that. This is -- I think these all multiply together. If we achieve our goal, which we believe we will, of routing 10% of gaming market content ecosystem, that in itself multiplies to 4x roughly the money flowing through developers. I just said about 15 minutes ago, we would like to increase the share of bookings flowing to our creators as well. So those two things multiply together. And then I think the triple whammy is we are already in a position where many top experiences created on Roblox are much more efficient than the traditional gaming space. And this is because our cloud is integrated with our engine. Our auto translation is integrated with our engine. Creators who launch and share experiences like Brookhaven, which is arguably one of the largest avatar simulation experiences in the world, much bigger than most stand-alone avatar simulation experiences, is -- really was created and run by a very, very small team and was running around the world translated on every device. So it really is a triple whammy. AI adds to that on top of that. And so it's really a fourth multiplier. We're seeing more and more creators adopt our assistant in studio. We're going to see more and more of that. I do want to say that we're optimistic that the overall market for jobs in the experience creation space, if anything, we believe will grow, not shrink with AI. We're optimistic about this. We think, for example, I'm going to Dubai next week to talk about the opportunity for really a creation economy there because the jobs supported by our platform are going to continue to grow. So I think it's actually a quadruple whammy with AI acceleration. Over to Mike.
Michael Guthrie: Okay. Ken, what is embedded in guidance for the first quarter. So the bookings guidance is about 22% to 24%, 24.5% top line bookings growth. That's informed by really the exit rate of Q4 and what we saw across the quarter as we adjust for the launch of PlayStation and some of the other things that we've already talked about. On the margin side, continued growth and what's implied here is again better than the 100 to 300 basis points that we've come to talk about. It's more like 300 to a little over 400 basis points improvement. So we're still seeing pretty high improvement in the margin guidance that's implied here. What else is implied for the quarter and then for the full year? January, of course, now we've seen -- expectation is that's probably the highest growth rate of month for the quarter. The comps are a little bit easier of course early in the quarter. As you all remember from last year, it gets tougher in March because we do lap Easter this year. So Easter last year was in Q1. So we'll lap that in March. And then we'll have the benefit of having Easter in April and not comping against April in Q2. So overall, because the exit rates are really good and just what we've seen in January has been very strong, that is embedded in the guidance. I also looked, Ken, specifically, I looked at your model a few days ago. And I feel like seasonally, you've got it right because during the course of the year, our current expectation is growth rates in the first half of the year will be higher than in the second half of the year, primarily because of Q3. We just had such a strong third quarter. So we're going to lap that. Now, yes, we knew and we [ printed ] Q3 that we were going to lap Q3, 12 months from now. So we're working on a lot of initiatives that we hope will allow us to drive growth above and beyond what's sort of embedded in the full year guidance and Q1 guidance. But that will be the toughest quarter to comp against, for sure. And we're optimistic we can do a good job there. And for the overall year growth, we're optimistic. And right now, I think highest growth in Q1, very good growth in Q2 and Q4, and Q3 is the quarter that we have to lap a very large number. And we're ready for the challenge.
Operator: We have time for one more question from Brian Pitz with BMO Capital Markets.
Brian Pitz: Two questions, please. One, any insights into how much contribution to bookings is expected from paid access games this year and thoughts on how they may potentially be cannibalistic to your core business? And then two, given the biggest question and pushback that we still receive, which is around the age up thesis on the platform, maybe an update on your thoughts on the latest initiatives there in terms of driving the development of more mid-core, hardcore gaming content. And could an acquisition actually make the most sense to accelerate the development move in that direction?
David Baszucki: Wow. We don't see your thesis in our numbers. So I do want to highlight, this summer, for example, we shared the growth rate of our over 13. And all over universities in the United States, people are playing Dress to Impress while they were in class. So we see continued growth in 13 and up. It's growing very, very rapidly, and we're seeing more and more properties like NFL Universe that are appealing to older experiences. On the paid access side, there is a pipeline of creations right now getting lined up to launch on paid access. We don't see this once again as cannibalistic. We see the overall $187 billion gaming content market in the world including freemium experiences, including paid access experiences, including experiences that monetize by advertising. And we're offering world-class systems that cover all of these. It's actually inconceivable that we would go after 10% of the world gaming market without a wide range of economic opportunities. So we see it as accretive, not as cannibalistic.
Michael Guthrie: Brian, just one last comment. I appreciate the question and what you described as pushback. And that's great because we're now 7 -- at least for me, 7 years into people pushing back on aging up, and we just continue to age up. So my prediction will be in year 8, we will continue to age up and build -- our incredible creator community will build content based on the technology that we're producing that will be increasingly attractive to older users. And in 12 months from now, we'll have the exact same question. But I appreciate you bringing it up.
David Baszucki: Thank you. Great question.
Stefanie Notaney: Well, Thank you, everyone, for joining us today, and I will hand it off to our operator, John, to close out the call.
Operator: That concludes today's conference call. Thank you for your participation, and you may now disconnect.